Jane Morgan: Good morning, and welcome to the Amaero Investor Webinar. I'm Jane Morgan, Investor and Media Relations Manager. And today, I have the pleasure of speaking with Hank Holland, our Chairman and CEO, who's going to be providing a company update. As usual, we will be taking questions throughout the presentation. So please use the Q&A function, which can be found at the bottom of your screen. Hank, I'll hand to you.
Hank Holland: Thank you, Jane. Good morning, everyone. As you're aware, Amaero lodged its quarterly financial results yesterday. I'd like to highlight some of the information from the results. And then as always, we'll be happy to take questions as follows. It was quite a transition for Amaero. We reported revenue of AUD 4.7 million, an increase of 445% over the same period a year ago. This included AUD 4.1 million of powder revenue and about AUD 600,000 of revenue from PM-HIP manufacturing of large near net shape parts. During the quarter, we increased atomization by 240% over the prior quarter. Again, that is in the September quarter, we increased atomization by 240% over the June quarter. Notwithstanding the significant step function and increased manufacturing, we could not manufacture enough product to fill all of our orders. And thus, we carried it into the current quarter approximately AUD 0.5 million of order backlog. All of those powder orders have now been shipped that carried over into this current quarter. We ended the quarter with AUD 9.9 -- I'm sorry, excuse me, we used cash in operations of AUD 9.9 million during the course of the quarter. This included AUD 4.7 million of bar stock inventory purchases. We've been very mindful of the last 12 months to carry buffer stock, thus mitigating the risk of any trade disruptions or tariff risk, somewhat timely given the tip that arose about a week ago with the threatened heightened tariffs with China. We are in very good position as far as inventory in stock. We have 20 tons of titanium bar that arrive this week. We have another 20 tons -- another 40 tons actually that will ship before the end of the month. The threatened tariff was to take place in November. So again, we are in very good shape as far as buffer stock of inventory. We ended the quarter with AUD 50.9 million of cash. Moreover, 3 days into the quarter on October 3, we received USD 5.7 million or about AUD 8.8 million from EXIM Bank draw. This was from CapEx spent in the prior quarter. So as of October 3, we had a cash balance of roughly AUD 59.7 million after drawing on EXIM Bank. We've got about another USD 7 million or about AUD 10.8 million left to draw on the EXIM Bank loan, and we will draw that over the course of this fiscal year. Moving on, one of the real focuses this year, really, there will be 2 primary focuses: one, to continue scaling manufacturing production, our throughput and the other will be continue to scale our commercial contracts. Anyone that has been involved in manufacturing, scaling manufacturing is not easy. When you go from development to production, it's a very different process. In anticipation of this, in May of this year, we brought in a gentleman that I've known for many years, Eric Olson. Eric headed up manufacturing consulting at Accenture for 3 decades. I met him at a former portfolio company. We had a SWAT team in for about 6 weeks. They reviewed all of our processes, met with our entire staff, all of our quality controls, all of our safety controls, and they put forth a plan in anticipation of not only scaling from fiscal year '25 to fiscal year '26, but scaling from atomizer, which we had before all the way up to 4 atomizers, which is our plan. They had no shortage of input and recommended changes over time. In fact, there's about 42 items that they identified in our processes and our people and our staffing and various protocols, much of which has already been implemented and some more of which will be implemented in the coming months and/or years as we begin to further scale and automate, for example, the way that we handle and move powder within the facility to do so in a way that is more expedient, but also less risk of contamination and safer. As part of the changes they recommended, our operations over the prior 2 years had really been focused on building our facility and commissioning the equipment. Obviously, now we've transitioned a very different type of operations, which are centered around manufacturing. As part of this, we brought on a new VP of Manufacturing Operations, who is essentially now running our operations, Mark Struss. I'll talk a bit more about Mark later. Mark comes with 25 years of manufacturing experience, including in the auto industry, a much more complex manufacturing process or series of processes than we have here. But again, he has been very instrumental in helping us think about how we begin to scale, how we begin to change these processes. I'll come back to this in the last point here in a minute, but we've gone through a real step function in operations. To that point, we have ordered additional equipment, much of which was ordered earlier this calendar year, some of which arrived in the first quarter of the fiscal year, more of which will arrive in the current quarter and next quarter that will again continue to scale the processes beyond atomization. We have a 5-step process, the first step of which is atomization but a series of processes that follow and this capital equipment will help us further scale those processes. Over the prior quarter, and again, I repeat, over the prior quarter, we had a subsequent or sequential increase in powder shipments of 153% in a single quarter. We shipped about 5 tons of product in the fourth quarter of fiscal year '25. We shipped over 12 tons of product in the first quarter of fiscal year '26. We had a 240% increase in atomization from about 8 tons in the fourth quarter, the June quarter to 27 tons in the September quarter. We were operating in June one 8-hour shift, 5 days a week on a single EIGA. We finished September operating two 10-hour shifts a day, 6 days a week on 2 atomizers. So again, significant scaling over the course of the quarter. In anticipation and recognizing the transition period of which Amaero is in, my wife and my family and myself relocated to Chattanooga during the course of last quarter. We're thrilled to be here for 3 years. I've been traveling back and forth and with a new baby at home, did not want to continue to be away from the family and moreover, have very long days here. I get to the office about 6:30 in the morning. We have a 7:00 a.m. production meeting. It's a little bit after 8:00 p.m. now, which would be a typical day. So again, it gives me a chance to be here all day, every day and be less away from family as I travel. So thrilled to do so, work alongside a great group of colleagues. And one of the things I've always said is people around here can attest, I want to ask anyone to work harder than I work and that being said, there's plenty of people here working just as hard as I am, and it's a heck of a team. Some significant improvements during the course of the quarter from a qualification standpoint as well as ongoing material improvements. As you might recall, with Castheon and ADDMAN, we signed a 5-year preferred supplier agreement in April of 2024. We then qualified C103 in September of '24. This was a very big deal. The founder of Castheon, Dr. Youping Gao is the foremost expert in printing C103 and refractory alloys. ADDMAN owned by one of the leading private equity firms in the industrial space in the U.S. has been very active in additive manufacturing as well. And so qualifying with Castheon and Dr. Youping Gao is a very big deal. We then immediately did some additional work on refining chemistries and we announced in December of '24 that we have made some slight tweaks to C103 chemistry that had shown some improvements. And then we've been continuing since then to make some other refinements. We have completed that. Thrilled to say that we have qualified with ADDMAN on top of the qualifications that we've done before. We've achieved performance specifications that are rock-like. Much of additive manufacturing material is subpar to rock material properties. The prior supplier that Castheon had achieved rock-like material properties, and it was important that we achieve consistent properties with other supplier, and we've now done so. So another significant advancement both in our qualification standards as well as our relationship with Castheon and ADDMAN. We will continue to advance, particularly as it relates to propulsion systems and thermal protection systems. These important systems on hypersonics and space applications, and we'll work closely with Castheon and ADDMAN going forward. Also during the course of the quarter, as you know, we achieved qualification, which was a predicate condition with Velo3D. We achieved that with Auburn University's National Center of Additive Manufacturing Excellence. I'll announce later one of the interesting things, Dr. Jonathan Peck, who had been a senior technician at Castheon, very few people, again, understand and know how to print C103. He had left Castheon and gone to Auburn. That is who we worked with at Auburn. I'm pleased to say that Dr. Jonathan Peck will be joining Amaero at the end of this month and again, one of the important technical hires that we have made. During the course of the quarter, as everyone is aware, we completed a AUD 50 million Placement that was very well supported, strong institutional support and participation. We also had an SPP. The SPP was AUD 3 million, and I would say modestly supported AUD 470,000, same terms and same issue price as the Placement. The Board considered this very seriously and that we were fully funded before -- but the Board felt it was important given that we were 2 years into commercial engagement, go ahead and pull forward some growth initiatives that had been planned for fiscal year '27 and beyond as well as to make investment in Argon recycling that will further improve our cost -- unit cost advantage that we have over competitors and further uniquely position us not only as the largest capacity U.S. domestic producer of spherical refractory and titanium alloy powders, but also the lowest cost. Some important hires that we made during the course of the quarter. Brett Paduch, our Chief Financial Officer, has been fantastic, brings a great audit background in accounting as well as FP&A experience. Mark Struss, I mentioned before, essentially assuming leadership in the manufacturing operations. Dr. Jonathan Peck, I mentioned, has joined us as VP of Technology Development was at Castheon and then Auburn. And then Dr. Arun has been an amazing force at Amaero. He's been promoted yet again. This is actually a second promotion, and he is leading all of our applied research as well as process development and working hand-in-hand with Mark Struss as we continue to refine and develop our operating systems. Also during the course of the quarter, we gave updated financial guidance. Pleased to report for fiscal year '26, we anticipate revenue of AUD 30 million to AUD 35 million and we expect roughly 40% of that would be achieved during the first half of the fiscal year, roughly 60% of that to be achieved in the second half of the fiscal year. On the commercial side, we made progress on a number of fronts. As everyone is aware, we announced a 5-year exclusive supplier and development agreement with Titomic, ASX-listed company for refractory and titanium alloy spherical powders. One of the things that perhaps isn't as well appreciated in the ASX market is spherical powders are very different than angular powders, also very different gas atomized powder than, say, HDH powders. Also reactive or titanium alloys very different than nonreactive, such as nickels and so forth. And so Amaero plays a unique role in the supply chain and particularly when you're qualifying in parts. What Titomic was finding is that the defense primes came to them for development and production parts, mission-critical aerospace and defense applications, the defense primes required it be spherical powder. So they give very specific material specifications. And in some cases, will also define how the powder is manufactured. This is more true, for example, in medical applications, where it is most often plasma atomization or gas atomized powder. We've already begun working with Titomic on a project, and I would expect you'll hear more about that in the coming months. But again, important opportunity for us, I believe, for Titomic as well in the refractory space, in particular, and really scaling their expertise in cold spray applications. Knust-Godwin, we did not announce this as a stand-alone announcement in the course of the quarter. As people will know that have followed this company closely, we tend to be somewhat guarded with not announcing things unless we feel it has a very material immediate financial impact. That being said, Knust-Godwin is an important relationship for us. Knust-Godwin is located near Houston. They're a very pivotal integrated additive manufacturing and advanced manufacturing firm, primarily focused on the oil and gas industry, but increasingly focused on other areas, including aerospace. We work with them on the PM-HIP side of our business, and now we'll be working more closely with them on the titanium side of their printing business. They also use largely Velo3D machines. And obviously, with our partnership with Velo3D, it ties in here nicely with Knust-Godwin as well. During the quarter, we announced about a year ago, we received a contract a little bit over [ $1 million ] with the U.S. Defense Prime Contractor and that we expected to complete First Article parts. Those parts have now been completed. We said we expect to do that in September or October. We will continue to do some testing with our customer over the balance of this calendar year, expect to hopefully finish that by the end of December. And then that will be -- the acceptance of those First Article parts will be a very important milestone as we move forward to advance other development opportunities, but even more importantly, production part contracts with this customer. It also further validates PM-HIP manufacturing as a mature, what in the U.S. we call technical readiness level or TRL level, a mature and scalable alternative to large castings and large forgings, which is very important, particularly in the maritime industrial base, the submarine industrial base, but also in the oil and gas industry. And then finally, we announced in the quarter a development collaboration with a Boeing company. This also, I think, is a very important example of the benefits as well as the immediate insertion of PM-HIP. We are -- we've not disclosed the nature of the part that we're working on with Boeing, but it is a structural part in a next-generation aerospace application. And I would expect you'll hear more from us as well as Boeing as this collaboration advances. I thought it might be helpful to give investors just a representative list of some opportunities that we're advancing. We won't come out and essentially announce these or announce the counterparties until we have binding contracts. That's just our practice. But we are continuing to advance development and production opportunities that support the U.S. Navy and the maritime industrial base. We're continuing to advance C103 powder opportunities, specifically within Missile Systems. Tungsten powder opportunities for the munitions complex. Munitions, as those you might know, is a very significant opportunity given our depleted stocks. And tungsten, very, very important. Tungsten, as you might know, has got a characteristic as a heavy alloy it penetrates, but also it sharpens as it penetrates. And so it's a very important material that is used in munitions. Very few people and very few technologies. Tungsten has a very, very high melting temperature, and thus very few technologies can atomize tungsten. Zirconium opportunities, which are important for nuclear power as well as nuclear propulsion systems. Refractory powder opportunities for cold spray applications, as I mentioned with Titomic. I have been advancing a strategic supplier agreement with a large integrated additive manufacturer, continued to advance a strategic supplier agreement with a large multinational medical device company, investment tooling for a semiconductor large company in the U.S., production contracts for oil and gas, actually companies plural. We're working on an upcycling/recycling opportunity that takes titanium coarse powder and the stubs from our bar to upcycle and recycle that. Atomization and testing of development refractory alloy powders as a more cost-effective alternative to C103 for applications that aren't so mission-critical that they would insist on C103. And then finally, integration and/or co-location of adjacency manufacturing and processing capabilities. This is particularly important to the U.S. Navy. Part of the challenge that we have right now is parts on average are taking about 28 months to manufacture. And yet much of that time has been queued up as these parts travel all over the country for various processing. And so to the extent we could co-locate some of those adjacency processing, it would enable us to shorten the time of production as well as mitigate the risk and improve the resiliency of our production supply chains in the U.S. Jane, I hope that is helpful and would be more than happy to take any questions.
Jane Morgan: Wonderful. Thank you so much for that, Hank. And if you could please send through your questions using the Q&A screen that would be great. We've had a few come through already. So let me jump into it. This one came through an e-mail actually, in fact. So one of Amaero's competitive advantages has been stated that the company can produce a far greater percentage of the high-value aerospace grade powder versus the low-value sort of off-spec powder than competitors. So from Amaero's production results so far, is the company achieving the advertised figures across the range of metals? And did this affect Amaero's ability to produce enough finished powder to fill orders this quarter?
Hank Holland: Great. So kind of 3 questions in there. First, for those that may not be as familiar, the whole idea of yield. So when we start with the bar, we atomize that entire bar and we had a distribution of powder. And different applications use different particle size distribution. So we might have powder from essentially 0 micron to 400 micron. But in the case of laser powder fusion, which is the most valuable cut of powder, it will tend to be about 15 to 53 microns. Now what the question is referring to is the prior generation of EIGA technology got about a 25% or 30% yield of that 15 to 53 most valuable cut. Plasma atomization, again, a proven and very, very well-accepted form of atomization gets somewhere around a 30% to 35% yield. EIGA premium, the new generation of the technology that we're using is getting a 50% and 50% plus yield. And yes, we are -- we'll continue to improve our yield as we continue to dial in our manufacturing, but all the results that we're seeing today are consistent with what we would have expected. By the way, the other thing that I would say is there's other forms of atomization where you start with scrap and whether what's called HDH, which is a chemical process or other ways that you're making powder. And they might stipulate they've got a higher percentage yield than, say, that 50%. But that's implicit on starting with the correct size powder. That is if you want 15 to 53, you've got to start with 15 to 53 feedstock, right? So again, we're talking about 50% of the entire bar, right? So the EIGA premium has got the highest yield from a bar standpoint of any technology. It also uses half the Argon gas. And so again, our significant unit cost advantage that we drive.
Jane Morgan: Wonderful. Thank you. So next one is, in the quarterly, you mentioned that you shipped to Velo3D 500 kilograms of C103 and 500 kilograms of Ti64. So were these included in the revenue performance for the quarter?
Hank Holland: Yes. So over the course of the quarter, we had a pretty balanced distribution of revenue. In the course of the quarter, as you mentioned, we shipped C103 to Velo3D. We also had shipments of tungsten, TGM, I'm missing another alloy or two. But anyway, we had -- so we had C103, we had development refractory. We had what we call other refractory and then we had Ti64. So a broad portfolio of powders that were shipped during the quarter. And then as you know, of the AUD 4.7 million of revenue, about AUD 600,000 of that was PM-HIP. We actually had a couple of PM-HIP projects that got pushed into this quarter as part of that AUD 500,000. That AUD 500,000 back order was about half powder and about half PM-HIP, the powder of which that backlog has already shipped so far this quarter. So it was a nice balanced quarter as far as where the revenue came from. What I would say going forward, including the current quarter that we're in, I think that you'll see a consistent increase in the kgs that we ship. So the amount of powder that we ship, though it will be somewhat lumpy in revenue and there will be quarters, for example, we don't ship C103, right? Obviously, C103 has a price 20x higher than Ti64. So where we don't ship C103, that can impact the revenue. But I think you'll see a consistent increase in kgs that we're shipping quarter-to-quarter.
Jane Morgan: Wonderful. And so next one is, you mentioned delivery of First Article parts to a defense contractor in September, October 2025. Have these been delivered? And if so, what is the process to progress from First Article to purchase orders or ongoing contracts?
Hank Holland: Yes. So the First Article parts have been completed. They are back at our facility. Our customer has seen these parts. We will do some further testing with our customer on these parts through the end of the year. We hope to have it finished -- our customer hopes to have it finished before the end of the calendar year. And that will be a very, very important milestone. We understand from our customer, and I think it is fair to represent that in the area of PM-HIP, Amaero, and I really credit Eric Bono, Fred Yolton, Dr. Aman, we have absolutely have leading pioneering experience in this area and we hear this back from our customers as well. We are addressing some of the most difficult manufacturing challenges as far as parts that are not only bottleneck in the forging ecosystem, but are very difficult to make even with the forging and machining capabilities that we have today. So we feel very good, as does our customer about where we are. And the importance of having these First Article parts accepted is what is in the wings after this to follow is more development opportunities, but even more importantly, immediate production opportunities. And I think that, too, speaks to the technical readiness level and the maturity of PM-HIP as a manufacturing technology.
Jane Morgan: Yes, absolutely. I think -- and this one has come through a few times actually, Hank. So what impact is the U.S. government's budget shutdown having on that sort of defense and aerospace contracts?
Hank Holland: Yes. It's a very good question, and there's not an easy answer. So for those in Australia that might not be as familiar with the U.S. budget process, our federal budget fiscal year begins October 1 and goes through the end of September. So October 1 of this month, we began our fiscal year '26 budget. As you might recall, last year, a continuing resolution was passed through the end of fiscal year '25. So that expired September 30. And historically, what you would then do is you would pass a new continuing resolution that would be a short GAAP measure until the fiscal year '26 budget is passed, which typically has happened in December, if you look historically. Instead, the House and the Senate could not reach terms on passing a continuing resolution. The continuing resolution we had expired at the end of September. And today, we have no continuing resolution and no pass budget, thus, our government in the U.S. is closed down. Essential services continue to operate, but we are already hearing from customers. And when you -- even when you're in a CR, you can't have new starts or restarts, but this is not even a CR, right? You're just closed, if you will. And so we have not yet seen an impact on our business. We've not yet seen an impact on the immediate quarter or the immediate pipeline. But if this was to go on much longer, I believe this is already the second longest shutdown that we've had in U.S. history. I believe 42 days or 40 days thereabout is the longest. And here we are 23 days into it. If it goes on longer, a, it's not good for our country. It's certainly not good for our readiness as a country, and it will begin to have an impact at some point. So I wish I could give a more definitive answer. Stay tuned. Hopefully, we will -- it's not a great way to run a country. It's certainly not a great way to fund a Department of War. And hopefully, we'll get this resolved shortly.
Jane Morgan: Yes. So great. So another one that's come through. So what progress are you making with nondefense, non-aerospace customers who need to buy U.S. sourced materials? You've previously spoken about potential customers in the medical center. Is there any progress happening there?
Hank Holland: So one of the areas that we got lucky, if you will, was when we first invested in Amaer 3.5 years ago, a big part of our premise was anticipating that the U.S. would reshore defense industrial base. And obviously, we've seen that in spades. What we didn't anticipate was an administration would take policy actions such as the Trump administration is now to so resolutely reshape international trade policy. And obviously, in the U.S., we've done this with tariffs, and we've done this with other non-tariff trade policies. And what this has created is significant, and I say significant movement of particularly U.S.-based companies that are multinational that had offshored their manufacturing really from the early 90s onward. Obviously, much of that had gone to China and other lower production cost areas. And those companies that their end market is back in the U.S. So take a company such as Stryker, I think I've mentioned this before, 75% of their knees and hips, their orthopedics by value that they sell, they sell in the U.S. But today, 100% of those are manufactured in Ireland and 100% of their powder is sourced in Europe and Canada, right? So you're seeing a lot of companies like that now begin to reshore and better align the manufacturing footprint with their end markets. So a significant part of the opportunity that we're seeing in addition to the defense industrial base are these commercial markets. It's also important for us because we've got to work on immediate now opportunities and then be planting seeds for longer qualification period opportunities. For example, if you're going to qualify powder for a jet engine part, it could be 2 to 3 years before you qualify that material. If you're going to qualify an orthopedic for a medical device, it could be 12 to 24 months before you qualify that material. So we've got to find some now opportunities and then be planting the seed for these longer term, and that's the way we're approaching this. So when I say we're making progress, which I think we are, think of that as we've planted those seeds, we've commenced those commercial engagements, we provided them powder, and we're trying to advance that towards qualification internally.
Jane Morgan: Thank you, Hank. Lots coming through, so bear with me. Okay. So is EIGA #3 still on track to arrive in calendar year '26? And are you confident you will have enough orders building to sort of fully utilize the 3 EIGAs into calendar year '27?
Hank Holland: Yes. So our strategy has always been not to fully utilize. And this is part of what gives us the opportunity to go after some of these very large commercial accounts. If we were at full capacity utilization, imagine you're a 1 million square foot office building downtown Sydney and you've got a 95% occupancy rate, well, you can't attract a very large single tenant, right? So our strategy has been to be on our front foot making these investments and to operate in the early years at about 50% capacity utilization and thus have room that we could accelerate production further if we can land some of these large commercial accounts. And by the way, in our current plan, we don't assume any of that happens. We assume that we methodically absorb that capacity utilization over a 4-year period of time, right, between now through FY '30. If we do land some of these accounts, it will accelerate that. So that's the first part of the question. As far as timing, what we've announced is the first atomizer we commissioned in June of '24, and that's essentially dedicated to refractory. The second atomizer we commissioned in June of '25. That is in a separate production room much larger that has capacity for 5 EIGAs dedicated titanium. The third atomizer in total, the second one, which will be dedicated titanium is scheduled to ship from Germany in January and to be commissioned by June of '26, so next year. And then with the recent capital raise, we announced that we will go ahead and order a fourth EIGA. We expect to order that before the end of the calendar year, and then that one commissioned 1 year later than the third one. So we'll have a cadence of June '24, June '25, June '26 and June '27, commissioning the 4 EIGAs.
Jane Morgan: Thank you. A bit of a different one here. So has Amaero considered atomization of low alpha, high-purity aluminum, which is used in the casing of silicon computer chips and currently produced by some of the largest Japanese manufacturers to obviously supply the next generation of semiconductor fabs being built in the U.S.?
Hank Holland: Yes, it is a great question. And part of what I love about having so many great partners right here that are smarter than I am on various issues. If Eric Bono was on the phone, he would have an immediate a very thorough answer to that. I don't have an answer to that question. We are working right now with some semiconductor companies, both on the capital equipment side, which is really a PM-HIP opportunity, but also on advanced materials side. So there is interesting work being done there. I do not know specific to that material. If Jane, if you want to forward me the e-mail, I'd be happy to get to Eric Bono and we'd be happy to respond.
Jane Morgan: Absolutely. Okay. Next one. Sorry, there are a lot coming through and a few double ups here. But okay, so looking at the quarterly, as production scales into the December quarter, will there be additional working capital requirements to further build input inventories?
Hank Holland: So I'm not sure if the question means more than we have anticipated or simply working capital scales. Certainly, as we scale the business, working capital scales, right? So if you think about as you have more production, you need more feedstock, you carry more inventory. So absolutely, one of the things that we follow very closely is work in progress. And candidly, the immediate priority is scaling production. You kind of take this in sequential steps, if you will. As you scale production, then you'll want to circle back on optimization and you'll be then focused on, okay, we want to do certain things such as further enhance yield to the question earlier about getting to 50%, we actually think we can get materially higher than 50%. In doing so, you reduce your cost per kg. And there's other things that we can do to further reduce the cost per kg. So it becomes a bit of a circular process. But yes, naturally, as you scale the business, the working capital required for the business will also scale, and that is in our model and very much accounted for in the capital that we have on hand.
Jane Morgan: Thank you, Hank. Sorry, that's come through. So let me just double check that there's nothing that's sort of been already covered. Look, I think that does cover most of the questions that have come through. I mean, finally, what kind of 3 key messages would you like investors to take away from today's webinar?
Hank Holland: Look, I think what's most important for this year, and again, this will be a transitional and transformative year for the company as we transition into commercialization, and we begin to significantly scale production. So what am I paying the most attention to? What are we collectively in leadership, scaling production and scaling commercial contracts, right? That is going to be our focus over the course of this year and candidly, into fiscal year '27. So we hope to have more commercial announcements. Obviously, we had a cadence of long-term agreements and strategic announcements. We hope to have more of those. We certainly hope to have some progress with the U.S. Defense Prime that we've been working with. You can't really control when these things happen. And candidly, when you're working with the U.S. Navy, they don't really care about this quarter. They care about getting it right for a generation of our sailors, right? Getting it right for our next generation of submarine. And so on one hand, most important to us is to be a great partner and do great work. We want these things to happen as quickly as they can. A, it's not within our control; and b, candidly, it's not what's most important. What's most important is for this business to be successful long term. So I would say those would be the key takeaways. Follow our progress in scaling production, follow our progress on additional commercial contracts and scaling our revenue.
Jane Morgan: Thank you, Hank. Well, that does look like we've answered all the questions for today. Should we miss anything, please feel free to reach out by the contact details on the bottom of our ASX releases. But thank you all for joining us.
Hank Holland: Thank you very much, Jane. Thank you, everyone.